Operator: Good morning, ladies and gentlemen, and welcome to the Bombardier Second Quarter 2025 Earnings Conference Call. Please be advised that this call is being recorded. At this time, I would like to turn the discussion over to Mr. Francis Richer de La FlÃ¨che, Vice President, FP&A and Investor Relations for Bombardier. Please go ahead, sir.
Francis Richer de La Fleche: Good morning, everyone, and welcome to Bombardier's earnings call for the second quarter 2025. I wish to remind you that during the course of this call, we may make projections or other forward-looking statements regarding future events or the financial performance of the corporation. There are risks that actual events or results may differ materially from these statements. For additional information on forward-looking statements and underlying assumptions, please refer to the MD&A. I'm making this cautionary statement on behalf of each speaker on this call. With me today is our President and Chief Executive Officer, Eric Martel; and our Executive Vice President and Chief Financial Officer, Bart Demosky, to review our operations and financial results for the second quarter ended June 30, 2025. I would now like to turn over the discussion to Eric.
Éric Martel: [Foreign Language] Good morning, everyone. Good afternoon, and maybe even good evening for some of you, and thanks for joining us today. Bombardier is in an excellent position. Our results put us on a clear and confident path to meet 2025 guidance. Before Bart and I go into specific details, I want to provide some color on how the last quarter was meaningful in the context of our long-term strategy. Clearly, it's easy to be optimistic in any quarter where we receive a firm order for 50 aircraft in one transaction. This was a big win for the whole Bombardier team. We look forward to welcoming a new customer, who will also carry a long-term and very comprehensive service agreement. I'll answer a few questions I've been getting almost every day. Who is it? What planes did they buy? And what makes their maintenance agreement so significant? The answer to all of those is simple. When our new customer is ready to unveil their offering, we will support them in doing so. Until then, no wins, the entire Bombardier team will respect their wish to remain confidential for now. This order does contribute in a significant way to our large backlog jump. Overall, it's really half the story behind our solid unit book-to-bill ratio of 2.3. We are seeing sustained demand and consistent flight utilization for business jets. This is also reflected in the low availability level of preowned Challenger and Global aircraft. On top of this great activity in the traditional business jet market, Bombardier Defense is putting points on the board. This past quarter, we received a notable order for 2 Global 6500 jets from SAP. This is an important relationship for Bombardier, which we established more than a decade ago. It's a great example of how to succeed in the defense market. You need strong capabilities, you need a very long-term vision and you need to be flexible with partners and customers. When I look at where Bombardier Defense is today, I see all of those ingredients coming together. In fact, at the Paris Air Show, we also announced an MOU to explore using the Global 6500 for maritime patrol missions with Italy's Leonardo. They are a well-respected aircraft and system manufacturer, and we are thrilled to embark on this project with them. I was also delighted to welcome my Safran counterpart to Ar Chalet as we signed a strategic pact to begin exploring common defense goals and technologies. These are just 2 more examples of how Bombardier Defense is creating new pathways to address growing needs in the defense industry around the world. It's important to be present, and that's why we have brought the Bombardier Defense flag to many, many more events. Being present is also important for our services team, providing our customer care and convenience starts with being at the right place at the right time. We are progressing very well on active projects. Most recently, we showcased the structure of our new paint facility at the London Biggin Hill Airport. Our next maintenance facility set to be located in Abu Dhabi is under construction in that key region. We have been consistent in executing our international service expansion, delighting our customer and growing our service revenues. We have to continue at this pace, not only for our growth ambition, but to ensure we meet or exceed the high standard our customers expect from the OEM. There are opportunities for us to expand further. Our facilities are full and the fleet is growing. As we evaluate next step, it's clear we will need to focus on geographies like the U.S. as a near-term priority. With services growth top of mind, let me return to the Q2 results themselves. Our $2 billion in revenue featured an exceptional contribution from services of $590 million, which is up 16% year-over-year. We also track our fleet flight hours as a leading indicator for services. They have continued to climb steadily, which reflects how reliable our planes are that our customers are very active. Our 36 deliveries bring our first half of the year to total to 59, the same level as 2024 and exactly our plan for the year. This past quarter, also noteworthy Challenger 3500 deliveries to a strategic customer base in the United Kingdom of Saudi Arabia. It represents an important milestone for us. Their planes are the first Challenger 3500 registered in the Kingdom, which, of course, is an important market we are focused on growing and being present in. We also continue to mitigate supply chain impact on our operations proactively. As it stands, we will once again see a more back-loaded delivery profile as we progress through Q3 and Q4. We have built up to $850 million of inventory so far this year to enable our strong delivery schedule in the second half of the year. Our facilities and service network are prime and operating very efficiently. Overall, this puts us in a strong position to generate more than $1 billion in EBITDA in the second half of the year. I am also happy to confirm that our second half deliveries will include the first Global 8000 aircraft. It is progressing well through the process towards certification. In the meantime, the Global 7500 continues to set the bar for the industry. It has just achieved its 135th speed record. It's a significant number because it's also a record of records. The Global 7500 now owns the most city pair speed record of any business jet type. Before I turn the floor over to Bart to discuss the detailed numbers, I want to highlight that the major effort to clean up our balance sheet continues to progress very well. This past quarter, we successfully refinanced $500 million of senior notes. This, of course, is in line with our strategy to strengthen our balance sheet and have a very comfortable debt maturity runway. Our efforts also yielded more credit rating upgrade from S&P Global Ratings as well as from Moody's rating. All in all, we are on a very solid track and the team has performed at a very high level in the first half of the year. Bart, on that note, over to you.
Bart W. Demosky: Thank you, Eric, and good morning, everyone. The entire team at Bombardier is very proud of the company's achievements through the first half of this year. We are organically growing in high ROIC areas such as services and defense, and our aircraft portfolio continues to set the bar for the industry. This was once again confirmed by our recent announcement of a milestone 50 aircraft order and long-term service agreement. Our operational execution has been solid, and we are confident that we will be meeting our full year guidance once again in 2025. As Eric outlined, this quarter was marked with a string of key commercial wins from both new and existing customers. As a result, our backlog has grown past the $16 billion mark, ending Q2 at $16.1 billion, bolstered by our 2.3x unit book-to-bill. Our services business also delivered another strong quarter with revenues up 16% year-over-year, contributing 29% of total revenue for the quarter and demonstrating clearly the continued success of our revenue diversification and aftermarket expansion strategies. We continued to be opportunistic in the debt capital markets in Q2 and further strengthened our balance sheet by completing another $500 million debt refinancing transaction, extending maturities into 2033 and reducing the average coupon on our total long-term debt by 11 basis points. S&P Global also upgraded our credit rating to BB- from B+, while Moody's changed their outlook on our credit rating from stable to positive, a reflection of our strong earnings and cash flow growth, supported by increased aircraft deliveries along with a growing backlog and aftermarket services expansion. The upgrades also reflect our consistent execution across business segments, effective deleveraging and improved liquidity position. Regarding the latter, our liquidity stands at $1.2 billion in the middle of our targeted liquidity range. We also had a very busy quarter engaging with investors and have seen strong and incremental support from institutional investors across the globe. With this context in mind, I'll now walk you through our quarterly results. For the quarter, total revenues reached $2 billion, representing a solid performance despite a $175 million or 8% year-over-year decline. Aircraft manufacturing delivered a planned 36 aircraft in the quarter, 3 fewer than last year and resulting in $255 million less revenue compared to the same period in '24. During the quarter, we delivered 21 medium aircraft and 15 large aircraft. And this brings our total deliveries for the first half of the year to 59 units, matching the delivery volume recorded in the first half of '24. Our services business delivered another strong quarter with revenue up 16% year-over-year to $590 million. When we last spoke, I explained that the work in progress or WIP in our service facilities was significantly higher at the end of the first quarter. The double-digit revenue growth in Q2 is a direct result from that higher WIP. With over $1 billion in services revenue generated in the first half of the year, the business is well positioned for sustained growth throughout the remainder of the year and beyond. Turning to profitability. Adjusted EBITDA for the quarter was $297 million, which represents a year-over-year decrease of $38 million, while adjusted EBITDA margin was 14.6%. These year-over-year reductions are largely the result of our production plan to deliver 4 fewer global aircraft, all of which were Global 7500s. Our first half margin reflected an aircraft delivery mix more skewed towards Challengers with 56% of deliveries being medium-sized aircraft. This delivery mix will reverse in the second half, meaning a lot more Global deliveries and EBITDA to materialize in the second half of the year. Looking at other margin drivers for Q2, our pricing was stronger year-over-year, but was offset by continued supply chain disruption costs, including some tariff-related costs, which are all fully reflected in our guidance. Turning to our other profitability metrics. Our adjusted EBIT for the quarter came in at $205 million, down $11 million from last year, while our adjusted net income came in at $117 million, a 5% increase from the previous year. Finally, our adjusted earnings per share also grew to $1.11 for the quarter, representing year-over-year growth of around 7%. Moving to free cash flow or cash flow. Free cash flow usage in the quarter totaled $164 million. This was primarily driven by a $280 million investment in inventory to support higher deliveries in the second half of this year, along with cash interest of $125 million and CapEx investment of $36 million. In the first half of the year, we've invested nearly $850 million in inventory in order to support greater than 91 deliveries in the second half. And looking ahead to the second half of the year, we are on track to achieve our full year guidance. The first half year results were consistent with our expectations, and we've made the inventory investments required to achieve the significant number of planned deliveries in the second half of the year, including a higher mix of large cabin aircraft compared to the first half of the year. By association, this means higher revenues, higher profitability and free cash flow coming in the second half of the year, particularly in the fourth quarter. In addition, we do expect to have a few more deliveries this quarter than in Q3 of last year as well to generate positive free cash flow. In conclusion, the first half of this year has set the stage for a strong finish to 2025 and for continued success well into the future. I look forward to continuing to share our progress with you in a few months' time. With that, let me turn it back over to Francis, and we can begin the Q&A.
Francis Richer de La Fleche: Thanks, Bart. I'd like to remind you that the Bombardier Investor Relations team is available following the call in the coming days to answer any questions you may have. [Operator Instructions] With that, we will open it up for questions. Operator?
Operator: [Operator Instructions] And your first question will be from Cameron Doerksen at National Bank Financial.
Cameron Doerksen: I guess a question on the -- I guess, the free cash flow guidance unchanged. There was a fairly wide range that you provided earlier in the year, I guess, sort of predicated on how order activity played out for the remainder of the year. We had a very strong Q2, obviously. So I'm just wondering if you can talk a little bit about, I guess, how the free cash flow for the full year is kind of trending. Are we thinking that it could be towards the higher end of the range just based on the order activity that we've seen?
Éric Martel: Cameron, thanks for the question. Look, we've -- we're performing right on track this year to our expectations. I think one of the things to keep in mind, including the very strong order activity we've seen is that we're looking at a greater than 55% increase in deliveries in the second half of the year with basically a lot more Globals being delivered than Challengers. So we're going to have 2 things contributing to a stronger -- much stronger free cash flow in the second half of the year, the order book and as well a very strong delivery increase. So when I look at our guidance for the year, we've stated that we're going to stick with guidance. I think all the building blocks are there for us to achieve potentially the higher end of the guidance. But as we sit today, the guidance remains as we provided earlier in the year.
Cameron Doerksen: So if I understand you correctly, if I guess, maybe if order activity kind of continues to be pretty strong, then maybe reaching that towards the high end of the guidance is certainly a possibility.
Éric Martel: Yes, absolutely. And I think as you know, the initial payments that come with those orders are what really drive our free cash flow variability during the year.
Cameron Doerksen: And if I could just follow up just on, I guess, in the quarter, you had this large fleet order. Were there significant, I guess, cash deposits associated with that order? I know it's somewhat sometimes different with a large fleet versus individual orders.
Éric Martel: No, you're absolutely right. So the dynamic here was that deliveries are only starting in '27, probably with that contract. So this is 2 years down the road. So we'll start to see some benefit of cash inflow actually a little bit this year, but also next year, a year before delivery starting. So delivery will start ramping up in '27, and then I think we're going to be seeing, of course, more progress payment and things come up.
Operator: Next question will be from Benoit Poirier at Desjardins Capital Markets.
Benoit Poirier: Now that you have over 2 years of production in your backlog, what should we expect in terms of booking environment in the second half and especially in light of the 100% bonus depreciation, do you see potential for other sizable orders in the second half?
Éric Martel: So I think, Benoit, great question. Clearly, the bonus depreciation is a good news for the whole industry and of course, for Bombardier. It's always been historically a stimulator for order. And we believe it will. Actually, there's already a reaction to that, and we can fill that right away. So that's great news for the industry. As you know, we are extremely well positioned as an OEM with the fleet operator. So if you are referring as a bulk order with potential order from other fleet operator, there's always potential. There's things being discussed. And again, we've been successful doing so over the last probably 15 years, we've been dominating that market. So we're well positioned to do that. I think the example of the order we just announced a couple of weeks ago is a testimony of our ability here. And I think there's a big differentiator for Bombardier. I think our ability to provide maintenance support over and above the quality, the performance of our plane, the cost of operation of our plane are all important element. But clearly, a very significant differentiator is also our ability to provide maintenance in a very busy environment because these airplane, as you know, are flying a lot, and we are capable to support all around the world, this type of operations.
Benoit Poirier: Okay. And just in terms of follow-up, capital allocation, we are getting closer to year-end and the targeted leverage of 2 to 2.5x. So I suspect you might have a better idea about capital allocation beyond 2025, following discussion with some key stakeholders. So any thoughts you could share at this point as we approach 2026?
Bart W. Demosky: Benoit, it's Bart. Yes, thank you for the question. First off, I'd just like to reiterate what we said earlier that our plan this year for the, I'll call it, excess free cash that we're going to generate beyond our kind of liquidity needs is to put it towards debt retirement. And you're absolutely right. Our focus is to achieve that 2 to 2.5x net leverage this year. That implies around about $600 million of incremental debt retirement by the end of this year. And then we'll look at what do we do in terms of deployment of cash. We have a number of things, obviously, internally that we're discussing, but we'll defer to providing more information on that when we come into next year.
Éric Martel: The one thing I would add to that, and I think we've said that a year ago at Investor Day, you should think that our capital deployment in the future, we like the 2 business we're growing, services and defense. And definitely, there'll be -- they'll get their share for that. So these 2 business are lucrative for us. They generate good profitability, good cash flow generation. So you have to think that our mind is going to be with these 2 business and growing these 2 business. Not to mention also that we will continue to upgrade our product. But I think definitely, these 2 are going to be a focus.
Operator: Next question will be from Myles Walton at Wolfe Research.
Louis Harold Raffetto: Lou Raffetto on for Myles. Maybe can you just -- understanding the mix in the quarter had an impact, but were the margins sort of as you thought? Or is the supplier situation, I guess, not getting any better? Is it getting worse? Any up?
Bart W. Demosky: Yes, margins for us in the quarter were right on plan. I think as both Eric and I mentioned, we had a mix in the quarter that had us delivering quite a few more Challengers relative to Globals. And we're going to see a reversal of that in the second half, which will keep us right on track for our full year guidance. And we're expecting a much stronger margin performance in the second half of the year as well. What this means is that we're going to generate more than $1 billion of EBITDA in the second half of the year with deliveries skewed, as I mentioned, more towards the large aircraft as well as more defense. Eric probably will provide some color on that, but we're seeing a lot of activity in the defense space, and we're very excited about the prospects that we have in the second half.
Éric Martel: Yes, I think maybe one difference compared to last year. We had defense airplane delivered in Q2 last year. This year, we had none. But I think we're definitely contemplating to have quite a few delivery for defense in the second half of the year. So with what Bart said, the mix of Global plus defense in the second half of the year would make it a rich second half with about $1 billion of EBITDA.
Bart W. Demosky: Yes. And Louis, just to answer your question on supply chain, we've made great progress on the supply chain year-over-year. I've talked in the past the about percentage of parts late to line. We're now well below 1%, which means we're back to a traditional amount of lateness to line. But we still have a couple of challenges that are headwinds and are causing costs that we're absorbing. That's all built into the guidance. There's nothing incremental there. And price improvements that we've seen on aircraft that we've sold as well as in the services business is offsetting that. So we're in a good place.
Operator: Next question will be from James McGarragle at RBC Capital Markets.
James McGarragle: I had a question on the Services segment. Things came in really strong in the quarter. How should we be thinking about this segment during the remainder of the year compared to where you kind of guided to in the past versus how things are trending kind of in the first half of the year? Any color there would be helpful.
Éric Martel: I think we're pretty excited. The start of the third quarter is strong. The demand remains very high. The airplane are flying. The demand for park is high. Our service centers are very busy. Actually, right now, we're scratching our heads more than to deal with all the volume we're getting. And I think it's a positive. It's a nice problem to have, but it's a challenge right now. So we're extremely busy, happy how the third quarter is starting, and we're aiming a continued solid growth for the remaining of the year.
James McGarragle: Appreciate the color there. And just more of a strategic one here. I know on some of these recent trade deals announced between the U.S. and the EU and the U.K. can you just talk a little bit about those, your view on the impact to the industry? And more specifically, any relative advantages that you see for Bombardier versus some of your competitors that are based throughout the world or in the U.S.?
Éric Martel: Yes. No, I think clearly, we haven't changed our mind since the beginning. I think we've assessed the risk for trade and tariffs for our plane to be low. I think the market has also made that assessment. It's much less volatile than it was probably in the first 3 months of the year when there's comments made about tariff in Canada. But I think also we should altogether read a signal that civil aircraft have been excluded from tariff with the agreement with the European last week and even yesterday with Brazil having an agreement, I don't know if it can be called an agreement, but having tariffs imposed that also civil aviation is excluded. So I think clearly, our interpretation of all of that is the aerospace industry is such significant, is so significant for the American that having tariffs will probably make more damage to their economy than any other country. So I think we feel comfortable and our products are selling all around the world on top of it. We're well diversified there. Despite that the U.S. market remains the strongest market, we feel that the most recent announcements are confirming what we did believe since the beginning.
Operator: Next question will be from Timothy James at TD Cowen.
Tim James: The commentary about the defense activity in the quarter being particularly strong, and I think that was a reflection of orders, it sounds like as opposed to deliveries. So from an order perspective, I'm just wondering if you could provide some color on kind of the mission characteristics, the type of special mission aircraft that are in high demand and have been generating orders recently? And maybe any commentary on sort of regional strength that you're seeing in terms of your customer base as well?
Éric Martel: Clearly, I think AWAC is top of mind for us right now. I think popularity of the AWAC program, there's a couple of process going on around the world right now. You saw one evolving in France. You've seen there's one also going on in South Korea, and there's a lot of things lining up today for AWAC airplane. I've talked earlier about the maritime patrol missions, which is maritime MMA system being looked at. So we're looking at it with Leonardo because we both see high demand for those type of mission airplane. And again, our Global 6500 is so well positioned for both of those type of platform. We see also out-of-state demand for our Global 6500. So countries that are adapting the 6500 see value also in commonizing the fleet. And again, I think our maintenance offering is also impressive there as it is for the fleet operators. So we are extremely well positioned. We also, of course, welcome Prime Minister Carney in Canada position on defense. I think we are a strong advocate that Canada must implement a national defense industrial strategy, working with this industry, aerospace industry and defense. So of course, we're well positioned there. But we have all kind of opportunities. Those are probably the main one right now. But it's actually pretty impressive to see how many countries right now knock on our door and asking questions and are starting to engage into further conversation about these products.
Operator: Next question will be from Noah Poponak at Goldman Sachs.
Noah Poponak: Bart, I think you had specified that you were operating under the assumption of book-to-bill of 1 for the year and how you laid out your guidance. So I guess just given what you've achieved with backlog in the second quarter here, it looks hard to get to that mathematically. So in reiterating the free cash for the year, I mean, how much of that is something else is worse or you just need maybe more time to unwind the inventory from the first half versus the deposit on this large order is kind of within your range, and therefore, you'll just wait to see how the back half plays out?
Bart W. Demosky: Yes. Good question, Noah. There's a few moving parts in there, but the 2 that are the biggest contributors to free cash flow in the back half of the year, you touched on them both. So the first one is much stronger delivery activity. To meet our guidance, we have to deliver greater than 91 aircraft. As I mentioned earlier, that's 55 -- greater than 55% growth in deliveries relative to the first half of the year. So we have a big delivery pipeline in the second half. Mix on those aircraft is very positive in that we're going to be delivering far more Globals than we will Challengers in the second half of the year. That contributes as well to strong free cash flow and earnings. I mentioned greater than $1 billion of EBITDA expected in the second half with our conversion rate between free cash flow and EBITDA that, that means something very positive. And then order activity, as Eric highlighted, we see a strong market out there right now. We've got a lot of activity around the globe. Our pipeline is very good, and it covers all aspects of aircraft that we deliver. So it's traditional customers, it's defense customers and as well, we're talking to the fleet. So it's not a big stretch to look at where we're at today and see a way to get to a book-to-bill of 1, excluding the large 50 aircraft order. We were about a 0.9 book-to-bill for the first half of the year, but on lower deliveries. So all of that adds up to us being in the range. And ultimately, a bit of the mix of orders in the back half of the year will influence probably where we land within that range.
Noah Poponak: Okay. Appreciate that. And then I wanted to ask, you had worked with the framework of 150 or a little more than 150 total deliveries for a little while. I think at one point that using that on a multiyear basis kind of you described as leaving some conservatism relative to the total market. It sounds like the total market is still solid. You now have -- you're now going to layer on this large order into the delivery profile starting in 2027. How are you thinking about where you want to take supply of new airplanes '26, '27, '28 just over the medium term, given the demand profile, but I assume still wanting to be disciplined on the supply side.
Éric Martel: Yes. No, actually, I think we want to be disciplined. I think we've said 150-plus will be probably our target between now and 2030. But of course, there will be potential opportunities coming up. I think we want to be disciplined in the sense that we want to make sure that the supply chain can follow. So that's, of course, #1 and top of mind. But you are right, the market is there. Our backlog is extending right now. So those are the kind of things we have to think about. But again, we want to base our plan, not on chasing volume, but on looking at keeping profitability, pricing in a good place where it is today, keep growing and of course, focusing on the other 2 business we talked about.
Operator: Next question will be from Gavin Parsons at UBS.
Gavin Eric Parsons: Just going into the demand environment, excluding the fleet order, if we could. I think you said 0.9 book-to-bill, demand environment is strong. Was the first half disrupted by COVID and economic uncertainty and that pushes some orders to the second half? Or how do you see demand trending through the rest of the year?
Éric Martel: No, I think -- but clearly, I think we've said that before in Q1, there was a bit of hesitation. I think that's how I would qualify it because of the uncertainty about tariffs. But you've seen our results. It's not like there was a major downside. We've done close to a book-to-bill of 1, excluding the aircraft of 50 order airplane. And I think right now, with the environment, I would say, being a little bit more positive and having more clarity. And we talk about the bonus depreciation impact in the U.S., we feel pretty good, as Bart just said, over and above the order of 50 to be able to achieve 1 as a book-to-bill this year. So it's great to have that order. But at the same time, it's important we continue to feed the machine on the one-by-one order or more regular order. And I think we feel pretty good that this is still achievable towards the end of the year with the current environment.
Gavin Eric Parsons: Is the Global 8000 accretive or dilutive to margin when that enters?
Éric Martel: Yes. No, it will -- it's going to be an improvement. It's going to be an improvement to margin.
Bart W. Demosky: Yes. I think we've been public about that, Gavin. The list price on the 8000 will be $3 million higher than on the 7500, and there's a very good margin accretion in there.
Operator: Next question will be from Ron Epstein at Bank of America.
Ronald Jay Epstein: You talked about this a little bit, but I just want to try to see if I can understand a little bit better. When you do get a giant fleet order, how should we think about the deposit structure on something like that? Like how sticky is it? And how do, if you will, predelivery payments work, that kind of thing when you order of that magnitude?
Bart W. Demosky: Yes. Great question, Ron. The fleet orders and this fleet order, the payment structure is very similar actually to the vast majority of our fleet orders. They traditionally have a little bit lower upfront deposit, but the profile of progress payments is very good. So as we build the aircraft, we will continue to receive progress payments throughout the build cycle that are similar to a traditional customer. So the cash will be coming in that will allow us to manage our working capital very tightly. And our goal is to basically have neutral through time so that we're not having to use our own cash and balance sheet. So we're very excited about that. The other thing to keep in mind with all contracts, we typically will have LVs or liquidated damages involved with them. With a large fleet order like this, as Eric highlighted, the deliveries don't start for some time though, they're in '27. And that I think explains part of why the deposits are a little bit smaller upfront because they're taking aircraft that start in '27 and then go out for many years after that. So that's something that our fleet customers are comfortable with and so are we. So we're very excited about this. It's going to be a strong free cash flow provider of this contract for years to come, and we're very excited about working with this new customer as well.
Ronald Jay Epstein: Got it. And then if we can, maybe just switching gears to defense. Are there any other vectors, if you will, that you all are exploring in defense markets? Clearly, in electronic surveillance aircraft, your airframes are doing quite well. But is there anything else like in the unmanned world or otherwise that you all are thinking about doing?
Éric Martel: Yes. We're clearly looking at these possibilities. Unmanned is clearly a subject right now, and we're looking at how we can contribute to that. We know that we have the technical knowledge and deep to do a lot of things as an aerospace company. So we are, of course, benefiting right now of the success of our 65 platform well positioned in the near term, but it's also important for us to position ourselves. I've mentioned about capital allocation earlier. So some of the capital allocation will definitely go towards things we may want to do with other partners. So unmanned is an example, but there's a few other things also that we're looking at that will require a bit of work for us, but that are amazing possibilities for the long run.
Operator: Next question is from Kevin Chiang at CIBC.
Kevin Chiang: Just back on the service revenue. I know it can be lumpy quarter-to-quarter, but if I just annualize your second quarter results here, and I think you've talked about the available market size being about $4 billion today. It feels like your market share is almost 60%, at least in this quarter. One, is that sustainable, I guess, as you look out the next few quarters here? And does that accelerate any investments you need to make to expand your footprint to maybe capture the longer-term objectives you put out at your Investor Day, especially the upper end of that target?
Éric Martel: Yes. No, this is a great question. And clearly, this is top of mind right now. We are looking, and I think I said that in my script here that we are considering, I think the next priority for us will be to grow into the U.S. because it's a question we're delivering a lot of airplane to the U.S., but it's also the fleet is maturing, and we know we have clear visibility on how much maintenance these airplanes will need in 3 years, 5 years, 7 years down the road. So we need to be prepared for that if we want to continue to grow our market share as we did in the last couple of years. So we need to position ourselves to do that. So I'm sure you're going to hear about either expanding sites in the U.S. or you're going to hear about potentially new sites. We have to serve our fleet customer also at the same time that have a deep operation into the United States. So we are clearly on that path and mindset right now, Kevin, for the next couple of months and for the next couple of years.
Kevin Chiang: Yes, that makes sense. And maybe just a follow-up here. Bart, you mentioned the target is eventually to be working capital neutral. When I look back the past couple of years, inventory has been a drag in '23 and '24. And understandably, you've been building up inventory given some of the supply chain issues and as you ramp up production. Do you think inventory can be flat this year, just given the amount of drag it was in the first half of '25? Or do the supply chain issues just make that difficult this year and maybe it's more of a '26, '27 story when inventory can be less of a drag or maybe even a modest tailwind as some of these issues subside?
Bart W. Demosky: Yes, it's a great question. I think there's a couple of things in there, Kevin. One is seasonality. It's very traditional in our industry, particularly with accelerated capital depreciation in the U.S., and it's now not going away. It's actually a good thing for the business, and it's back to 100% that we're always going to have more deliveries in the second half of the year than in the first half. So we're always going to have some inventory build. I don't think it will ever get to a place where it's equal every quarter just because of that and as well seasonality related to when customers are available. So we're always going to have a bit of that. Our cash bridge is really simple with the deliveries in the second half, again, greater than 55% growth we're going to have a very significant inventory release. We mentioned $850 million. Whether it will be dollar for dollar or some of that will carry over into the new year, we've always got aircraft that are in progress of being built and assembled, and we're always going to carry some over into the new year. But we're going to have a very strong release this year, particularly in the fourth quarter.
Éric Martel: Just quickly, maybe just to add on what Bart was just saying. I think supply chain is -- and you mentioned that we clearly hope that supply chain will stabilize over the next coming years. So if that happens, then I think we'll have more stability from a quarter to another quarter as we right now have lateness and of course, shorter the lead time to make completion at the end for the airplane in the last quarter, but this would definitely be in a different view if we can stabilize that supply chain once and for all as the rest of the industry is hoping for and eventually have a more regular flow of deliveries.
Operator: And our last question will be from David Strauss at Barclays.
Benjamin Webster Tomick: This is Ben Tomick on for David. Can you provide any more color on the Global 8000 program? You mentioned the first delivery occurring in the second half. How are you seeing demand shape up around there? And then any delivery expectations you have going into next year? And then how should we think about the margin profile there?
Éric Martel: Yes. So great question. So the 8000, as we said earlier, is progressing to plan. So with 1 delivery later in the year in Q4. So the airplane actually we're delivering is assembling extremely well. It's on the assembly line already. We're starting to put the interior in and getting ready for that. In parallel, of course, there's the whole process of certification. So we finish flying the airplane. Right now, it's more of an all paperwork exercise that we need to consolidate and go to the authorities. And of course, we're working with our supplier to achieve that. So we feel solid about this and to achieve that. I think we've said earlier, the margin next year, we're planning to deliver a similar level of volume of 8000 compared to what we do for the 7500. So we're not increasing or reducing the rate. So you should see it about plus or minus the same kind of volume going into next year with the 8000, but also with the advantage that the margin will be incremental as we are listing the product for $3 million more per copy. So that's, I think, how you should think about the 8000 coming forward.
Bart W. Demosky: Yes. And Ben, just one thing to add as well because there's a service bulletin available to our existing customers who have 7500s who would like to upgrade the performance of their aircraft to the equivalent of 8000. We're having a nice flow of customer uptake on that service bulletin as well. And so that's accretive for the company. So we get to benefit in 2 ways.
Operator: And at this time, I would like to turn the call back over to Eric Martel.
Éric Martel: So thank you all for joining us this morning and for your continued interest in Bombardier and our team's accomplishment. So before we sign off, I just wanted to highlight that we are -- we recently also published our newest Sustainability Report. It's a topic that remains part of our DNA, and we continue to lead the industry with initiatives like our environmental product declarations, the adoption of SAF and dedicated R&D project also and while sticking to our target of lowering our total company footprint. So on that note, I will wish you all a restful and relaxing summer and look forward to reconnecting in the fall. So thank you.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.